Operator: Good day and thank you for standing by. Welcome to the 2U 2021 Earnings Report Call. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.   I would now like to hand the conference over to your speaker today Mr. Ken Goff, SVP of Investor Relations. Thank you. Please go ahead, sir.
Ken Goff: Thank you operator. Good afternoon everyone and welcome to 2U's first quarter 2021 earnings conference call. I'm Ken Goff, SVP of Investor Relations at 2U and I'm joined by Chip Paucek, our Co-Founder and CEO; and Paul Lalljie, our CFO. Following Chip and Paul's prepared remarks, we will take questions. Our Investor Relations website, investor.2u.com, has our earnings press release and slide presentation as well as a simultaneous webcast of this call. A webcast replay of this call will be made available for the next 90 days.
Chip Paucek: Thanks, Ken. Higher education is one of the world's largest industries and like so many others before it. It's now undergoing a profound digital transformation. In the midst of it, more and more of the world's best universities are turning to 2U as their trusted long-term partner. Across our entire product portfolio from undergrad and grad degrees to boot camps and short courses. The demand for 2U shared success business model was strong and we expect that to continue. Our partners know that we deliver unmatched scale and quality, which drives positive outcomes for their students and real value in revenue for them. To date we've generated more than 2 billion in tuition for our partners. The results of business firing on all cylinders that based on our guidance will be fast approaching $1 billion in annual revenue by year end. 2U strength is clearly reflected in our first quarter numbers, which were fantastic growth of 32% on a revenue base that is much larger than our competitive set with accelerating profitability. Notably in Q1, we turned free cash flow positive on a trailing 12 month basis. And we now expect that to be the case for 2021, which would be a year ahead of our original target and marked an important milestone for 2U. Our CFO, Paul Lalljie, will give more details on the quarter and what to expect for the year. I want to focus on how we believe our scale and quality drives 2U's strategic positioning and differentiates us as a clear market leader.
Paul Lalljie: Thanks, Chip, and good afternoon, everyone. We had an outstanding quarter with results that exceeded expectation. Revenue grew 32% to $232.5 million over the first quarter of 2020. We saw strong growth across the portfolio. The degree program segment grew 23%, boot camp 68% and short course 41%, all on a year-over-year basis. Expense for the quarter totaled $269.6 million, an increase of 18%, significantly lower than the 32% revenue growth. This resulted in a $14.5 million improvement in net loss from the first quarter of last year. Adjusted EBITDA for the quarter totaled $13.7 million, a margin of 6%, while free cash flow on a trailing 12-month basis came in at a positive $9 million. In a nutshell, we reported accelerating revenue growth, better than expected EBITDA margins and positive unlevered free cash flow on a trailing 12-month basis, a very strong start to the year. Now let's take a closer look at revenue for the quarter. Revenue growth this quarter was driven by a 33% increase in full course equivalent enrollments, which came in at 81,000 for the quarter showing the strength across products, launch cohorts, and the verticals. Revenue in the alternative financial segment grew 52% in a year-over-year basis driven by 39% increase in FCE and a 9% increase in revenue for FCE. Revenue growth and boot camp was particularly strong for the quarter, driving the increase in revenue for FTC. In the degree program segment, revenue grew 23% compared to last year; the fifth straight quarter of accelerating revenue growth FCEs for the quarter increased 31, while revenue per FCE decreased 6% year-over-year. The out-performance was driven both by strength and a number of new enrollments and increased student retention rate.
Operator:  And your first question is from Brett Knoblauch of Berenberg Capital.
Brett Knoblauch: Hi guys. Thanks for taking my question and congrats on the quarter. Just curious about your thoughts and I look at your website and it's changed a bit over the last year or so, and it's starting to resemble bit of a marketplace type feel. Is that something that you would be – you would consider entering into in terms of acquiring or building your own marketplace and leverage a different type of student acquisition funnel?
Chip Paucek: So we do think continuing to elevate the 2U brand through powered by 2U's and important part of the strategy, I would say that our marketing apparatus today is world-class and at a scale that I think most don't quite realize. So we will continue to explore all facets of driving high quality student enrollment for our university partners. You might've noticed an announcement this week from fortune magazine, the team at fortune launched an education vertical, and we are a key advertising partner for that vertical and excited about one example, Brett, of a new advertising source for us to reach the right student for our university partners and do it at a scale that we think is industry leading. So we will continue to explore more and more opportunities. We will continue to elevate the powered by 2U brand and seek out opportunities to find students where they need to be found.
Brett Knoblauch: Understood. And maybe just one follow-up, during the quarter, you guys launched a partnership that I thought was really important with Guild. Do you expand upon maybe the financials of that partnership? When that's going to take place? How that's going to work given they had a good corporate install base of 3 million plus employees?
Chip Paucek: Yes. So I guess I would back-up by first letting you know that enterprise has definitely been a part of our growth in a way that I think, these are obviously the community. We built a large scale consumer operation that, as I said at the beginning of the call, we're snipping distance from $1 billion in revenue now. And that has been built historically on what I think is a differentiated marketing funnel that most of higher ed isn't spending dollars this particular way. And so we launched into enterprise a couple of years ago, and it is one of the fastest growing parts of the business today. Guild and the opportunity to partner with Rachel Romer Carlson and her great company to find – to power degree programs into the enterprise, we do think is an excellent growth opportunity. We found that those short courses in boot camps to-date have been very much in demand from employers. The career engagement network is part of the key to the story in terms of our industry leading scale can create, sorry, I'm getting a ton of feedback on the call. Can you hear me, Brett?
Brett Knoblauch: Yes, I can.
Chip Paucek: Okay. We're having some challenges in the audio line, so just want to make sure you can hear me. So the career engagement network we think is strategically very relevant. And one part that we didn't mention in the prepared remarks, it does build employer relationships from the standpoint of creating opportunities for our products to be available to their employees. And so the oldest part of that selling our short courses in our boot camps in is part of that, you might've seen an announcement with us with Netflix and Norfolk State University were powering technical boot camps to increase diversity in Netflix's workforce. We think there's great applicability there. So we do very much like the growth opportunity that we see in enterprise and all of our employer partners are now recruiting talent, not just out of our boot camps but out of our degree business and our short course business. And you're talking about 325,000 alumni; so great opportunity for us to drive sort of all ends of that ecosystem.
Brett Knoblauch: Okay. Thanks so much. I appreciate it.
Operator: Next question is from Josh Baer from Morgan Stanley.
Josh Baer: Thanks for the question, and congrats on strong results this quarter. I was hoping you could help frame the potential ranges for FCE enrollment growth across the different business lines, maybe by providing any context for the number of degree programs and short courses and boot camps that are either currently ramping or expected to be launched by the end of the year, or expected to be launched next year. Any context would be helpful?
Paul Lalljie: So Josh, this is Paul here. I'll kick it off and Chip will chime in later on. One of the things that we've consistently said is that we manage the business on a portfolio basis and we're – in Chip's comments, he mentioned we're – at the end of the year we're going to be just shy of $1 billion of revenue. And one of the benefits of managing the business in a portfolio basis is that we can truly benefit from scale. I think you've seen the progression on the EBITDA side – the profit side of the equation, on the free cash flow side of the equation and that is not because we're benefiting from market trends. That is not because we are reducing expenses in a given quarter or cutting expenses are that is not because of one-time activities in nature. That is because we have a Chief Operating Office, Mark Chernis and his team that are maniacally focused on improving the way we do business. How can we build course cheaper, better, faster? How can we service and delight students in a way that is efficient in a way is truly student friendly or customer friendly. And if we can implement some of those types of measures, what we have is an efficient scalable operation. Why do I mention it that way? If we're allocating capital across the business where we'll get the highest rate of return, it therefore means that we're agnostic that a number of degree programs that we launch or the number of new courses in the short course business that we built, or the number of offerings in the boot camp business that we launched. And I think we also mentioned this in one of the prior calls, we have short courses in boot camps that are larger than some of our degree businesses – degree programs. So to some extent it is less about the cadence for us and more about how can we holistically grow our top line, growth profitably and have EBITDA and cash flows at the end of the day. So to some extent, we somewhat look at it from a very different perspective. In terms of FCEs – FCEs and revenue for FCE continued to be a good indicator of the business. However, for example, within the degree business with the launching of the Simmons program in fall of last year, and with LSE, what we have is more enrollment but lower revenue per FCE, just because those programs are lower cost programs. So to some extent the revenue per FCE as the mix shifts becomes less relevant for us as we go forward. So the bottom line is, look, we delivered some really, really good numbers this quarter but we feel good about the year. We feel good about the accelerating; meaning the sequential increase in our top line and our bottom line is equals through time. And the thing that we're probably the most proud off is the free cash flow – positive free cash flow this quarter, right? We were expecting that towards the back half of the year, more importantly, somewhere around Q3, Q4. We were able to have that sooner and current course and speed; I think we will be able to maintain that as we go through the year. And that's the kind of progression that we want investors and the street community to look at as a yardstick and measurement of our success, because that's how we measure our success. Chip, I don't know if you would add to that.
Chip Paucek: Well, the only thing I would add is, Josh, we've got at this stage, we've got short course and boot camp relationships that are larger than some of our historic degree programs. So you really do have to look at it holistically. Launch cadence is a bit of a term from our early years as a company. It's not as relevant today, even though on the degree side, we're continuing to launch all kinds of new degrees. I mean, the one that I just talked about, the marriage and family program the degree program with Northwestern University, we're now working with seven different schools they're across all three product categories. Take what we announced yesterday with Keypath and Pepperdine, that's our 11th program with Pepperdine. So I think an example of something that really isn't fully appreciated is just how successful we've been landing and expanding with our university partners. But it's not just about adding another degree today. If all of these announcements together is how you get a company, that you obviously have to do a lot to raise the guidance on a company that's getting close to $1 billion in revenue, right? Like by definition, the numbers are large today. So it takes all of this. It takes our degree cadence. It takes our short course opportunities. It takes new logos like IMD. It takes opportunities in enterprise like Netflix, it takes a Guild partnership. All of these things together create something that – right now we're feeling pretty good about where the company is going. We feel like this company is the strongest it's been since our IPO in 2014.
Paul Lalljie: And Josh, before we close this out, I mean, I think we mentioned this earlier, our marketing apparatus is best-in-class, and that's what allows us to benefit from scale across each of our businesses. And I think that's, there is something to be said for such a marketing apparatus and if we keep growing faster in market, then our position is secure.
Josh Baer: Got it. If I could just follow-up, I mean, I understand the – like managing on a portfolio basis. It sounds like if you're too focused on degrees versus alternative credentials, you might like we, as analysts might be lost because there is one could be bigger than the other. There might be better return somewhere else. And like there shouldn't be this huge focus on the exact number of launches between each of them, I guess, like thinking about company growth, biggest drivers, enrollment growth, the biggest driver of that is, I think new launches, whether it comes from one or the other. So I guess, like, is there anything else that investors should look to try to support the trajectory of growth going forward? Or is it kind of that last comment around expectations to grow ahead of the market and that's like a good framework for thinking about the growth trajectory outside of 2021?
Chip Paucek: Well, I mean, I have no doubt that we, sorry, Paul, go ahead.
Paul Lalljie: No, no, please go, sorry. I apologize.
Chip Paucek: Strategically, many years ago now we decided we needed to meet the learner where the learner needed to be met, and we needed to broaden our horizons to go to from degree to shorter courses and create opportunities for somebody to learn across their lifetime. And to tie this to the first question that there's somewhere in the ballpark of 15 million people that have come into our system in some particular way, and we're getting much better at operating across this ecosystem and offering those folks opportunities to learn where they need to learn, when they need to learn. And to Josh, it's certain not just about the degree business today. I mean, the Alt Cred segment for 2U alone is larger than most of our competitors and candidly growing faster, that's without the degree business. We happen to believe strongly in both. You saw an acceleration in the degree business. We expect that to continue, but 52% in the all Alt Cred segment on that revenue base is pretty impressive. Most of that tech doesn't get to that revenue base alone. When you combine them, we really become a key partner for the university and that honestly is how you end up with seven schools across Northwestern, in disciplines that range from the business school to the family institute for counseling. So we love those growth opportunities. It's clear that undergrad is changing the game for 2U. It's clear that the most significant COVID impact for the company is what has happened in undergrad education. There is no question that the consideration set if you're a great president or provost somewhere in this country, you are thinking about digital transformation fundamentally differently than you were two years ago. And we are starting to really see the benefit of that, which is why we said expect more from us in the undergrad space because they're coming.
Josh Baer: Awesome, thanks for the insight.
Operator: Your next question is from Brent Thill from Jefferies.
Brent Thill: Chip you can outline your view on the Rule 40, I know if you take hauls you guided 21 on the top and six on the bottom, you're getting to a Rule of 27. But I know you have longer-term aspirations. Can you just talk to how quickly you can get there and how important that is to you and the rest of the team? Thanks.
Paul Lalljie: So, Brent, let me start off here and then, I think, Chip will jump in, but I recognized to use the guide there and get the 27. I guess I could go at 32 and 37 and get to 39, which is this quarter, but you're looking at it the right way, the full year is probably the way to look at this. And Rule of 40 lies in the eyes of the beholder, some use revenue growth and EBITDA, some use revenue growth and cash flows. The bottom line is use a yard stick, which is the Rule of 40 on how we are creating value as we go through our progression. And we're going to hold ourselves accountable to maintaining a healthy top-line growth and to maintain or continue to expand and improve the margin line for us as we go forward. For us, it is very important that we become EBITDA positive and cash flow positive. We've gotten there and it is something that we focus on. It was very easy in 2020 for us to sit on our laurels, benefit from lower cost , and deliver results because there was demand in the marketplace. Instead, our teams worked very hard to improve the processes within the business, how we do things, how can we do things more efficiently. And those are the things that are going to allow us to maintain the momentum that we had exiting 2020. And as we go through the passage of time here, I think we will continue to use the Rule of 40 as a good benchmark, but the bottom line is all we can ask ourselves is to continue to improve on a year-over-year basis on a Rule of 40 level. It is not meant for us to provide – here's where we – when we're going to be at 40 or here is when we're going to be at 35. We're going to push ourselves, right. We tasked ourselves with getting to EBITDA positive into back end of 2020. We did that in Q3. We tasked ourselves this year with getting to cash flow crossover into cash flow positive on a trailing 12 month basis the back half of the year. We achieved it in the first quarter. So we will continue to set ourselves aggressive targets internally, but I think rest assured. Brent, you can look to us to continuously improve that Rule of 40 on a year-over-year basis.
Chip Paucek: Yes, I mean, what I would add is we are at a stage of life. We are seven years in as a public company and giving long-term prognostications as to what will happen on a Rule 40 basis. We're just not going there. What we are willing to do is put the results out and let them speak for themselves. And I will tell you, if you look at Slide 13 of the earnings presentation, that is a pretty sweet chart, that is our free cash flow and incredibly proud of what the company has accomplished over the last two years, a tremendous amount of work with – market leading growth while simultaneously crossing that historic milestone. So Brent, we are thinking about revenue growth and EBITDA together. That is clearly our version of Rule 40. And we really like our odds of improving it as we continue to mature as a company.
Brent Thill: Yes, Paul, I wasn't trying to take away from your team in the quarter, just more on the guide and trying to reconcile that relative to the outperformance. So I really appreciate the color. Thanks again.
Paul Lalljie: Thanks, Brent. I was just trying to lighten up the mood here. All good.
Brent Thill: Thanks.
Operator: Your next question is from Jeff Silber of BMO Capital Markets.
Jeff Silber: Thank you so much. You alluded to this in your prepared remarks about folks down in D.C. really paying more attention to enhancing skill sets for employers, employees, and the unemployed. I know we had some news this morning from President Biden about the American Family Plan. I'm just wondering if you got a chance to look at it and what you think if there could be any impact on your business because of it. Thanks.
Chip Paucek: No problem, Jeff. So I would say – I would start by saying that we've been very pleased with the conversations we're having both on the Hill and early days of the Biden administration. There is a clear bipartisan focus on reskilling and upskilling. We have 40 plus partners all over the country with great regional balance where the great university is doing something that the great university historically has not done, which is reskilling and upskilling people directly for the workforce in a way that's meaningful at scale. And so that's been a strong positive. This morning's announcement, we were actually quite excited about the focus on healthcare and specifically healthcare related to building a pipeline of skilled healthcare workers with graduate degrees. We think that that is a real opportunity for the company. If you look across our business on the degree side today, I think we're doing high quality healthcare graduate education at a scale really nobody else is close. And at a quality level, so just take one example that physician assistant program with Yale is just a fabulous program, incredibly high quality students come from all over the country. They get to attend Yale University, but then equally important. They return to their local area to not only do their practicum, but to ultimately practice. And we think that kind of program is really getting noticed by those that care about healthcare education. So, so Jeff, overall, we're pretty pleased with the discussions we're having and on balance like what we see.
Jeff Silber: Okay, that's great to hear. Shifting gears a bit from a competitive perspective, we've been seeing a lot of companies expanding in the States. We had a pretty successful IPO in this space about a month or so ago. Are you seeing more intensity from a competitive perspective?
Chip Paucek: I mean, honestly not, no. So the company that you're referring to that had a successful IPO, we were very happy for them. And I would say, they've been in existence for quite some time, not as long as we have been, but for a long time now. And so, we've been competing in the general ecosystem with most of the players. If anything, Jeff you've had some folks fall by the wayside doing this more and more. You got to be able to do it at scale. You've got to be able to do it at high quality. I mean, one of the things that I think sometimes when we talk about some of the things in the prepared remarks, I understand the importance of focusing on our Rule of 40 and on our cash flow progression all these things. They're important, but ultimately these businesses are going to be judged on quality outcomes. And if you look at what's happened with retention rates over a decade, it's pretty remarkable what we've been able to do from the standpoint of improving graduation and retention rates. So, we're feeling like our system is getting better and better, the effects for the students and for the faculty is getting better and better. We feel very strongly about our current net promoter scores, the board pass rates and our programs that have them are very high. So from a competitive standpoint, we take just a couple of examples this year of new innovations for the company, the career engagement network. We think a lead higher education hasn't quite seen anything like it. And then an example of something totally different is we rolled out something called the virtual field practicum to allow students that are in clinical based programs to engage virtually with an avatar first, and then eventually with an actor or portraying someone that might have PTSD returning from the war before they actually deal with somebody in a live setting, in a clinical setting where they're dealing with somebody who's returned from the war with PTSD or lost everything in a fire. And like it's been so positive for our social work programs. It's super innovative. The net promoter scores for it are off the charts from the students. And we did that to just continue to drive innovation in those programs. And I feel like our – today more and more the combination of scale and quality, it's going to be difficult for some of the smaller players to compete with us. So you are seeing some folks fall by the wayside a bit.
Jeff Silber: Okay. That's really helpful. Appreciate the color. Thanks.
Operator: Your next question is from Stephen Sheldon from William Blair.
Stephen Sheldon: Hi, thanks. Great to see the continued acceleration in the degree segment, you guys gave some commentary earlier. But just – can you talk about it or I guess just frame the factors that drove that acceleration this quarter? How much are the undergraduate programs playing into it? And how sustainable this type of growth can be as we think about in the next few quarters?
Chip Paucek: So, we're very proud of the degree business. Ebony Lee and her team are Managing Director for the degrees is just doing an incredible job. So I would say to you is we have an internal term that won't make any sense to anybody, but it's called the 15 one percenters. And what we mean by that is that these are very large operations and they're complicated. So Sheldon, like there is a bunch of factors that ultimately drive success for the student. And when I say success for the student, I don't mean a successful enrollment. I mean, we are a business where if the student wins, the university wins and we win. What does that mean? If a student – if we retain a student and they successfully graduate, they typically have a great career outcome in our programs. And so driving that retention rate, driving small improvements across a bunch of different categories, we say the 15 one percenters. It's like – there's not one thing that is going to move the dial. It's a collection of activity from a really great team focused on improving it. And so, you're seeing a bunch of our historic programs whether it would be the Master of Data Science at Berkeley or the Master of Business Administration at Carolina, which I graduated from, you've got programs at historic highs where you've got not just strong enrollment, but you've got really high quality student marks. And then you combine that with LSE undergrad or Morehouse or Simmons undergrad. And those are all really exciting opportunities, which is why you will see us launch new undergrad programs. So the degree business is – it's just been a lot of effort among a team that is focused on making service their mission and driving this positive outcome for the students. That is not just one of our guiding principles. It is what actually makes this place work every day.
Stephen Sheldon: Great, thanks. And then, I guess, a follow up. I just want to get an update on the concept of stackability and alternative credentials, and specifically as you continue to expand the boot camp and short course offerings, have you seen, I guess, notable changes over the last year or so? And how universities are trying to apply the concept of stackability for some of these piecemeal offerings where they can be pieced together by a learner into a larger certificate or degree over time?
Chip Paucek: Yes. So Paul – I could probably take that one for you. So we are actively working in a whole variety of different universities on opportunities for people to have pathways from one product to the other. You heard me mentioned Sheldon the close to 15 million people that have come into our world in some capacity and being able to offer those people, other opportunities with great university partners to improve their lives. And so sometimes that involves giving somebody an opportunity to move from a short course to a degree. And we do think that that there will be interesting credit opportunities across the business. So, it's something we're pretty, pretty focused on today.
Stephen Sheldon: Great, thank you.
Operator: And we have time for one last question. And your question is from Ryan MacDonald of Needham.
Ryan MacDonald: Hi, thanks for taking my questions. First one is for Chip. Chip, we've clearly seen some really strong demand in terms of application trends on the grad segment and enrollment. I am just curious as you talked to your university partners, what ability do they have to be able to fully service that demand today for the spring cohorts? And are we seeing any of that demand start to bleed into fall cohorts as we think about the second half of the year?
Chip Paucek: Well, that is certainly our job is to work. In the case of a 2U powered program, we are powering – by definition powering the experience for them, and that includes ensuring that students are fully supported. So our Chief University Operations Officer, Brad Adams, has a very large team focused on helping the university handle the scale that we're operating at. And you might imagine that with a brand new program like Morehouse, we've been working very hard under the leadership of the GM, Karlo Young, to really get them ready for what's today going to be clearly a program that will operate at scale. There are 36 million people with some college credit that haven't completed. And the opportunity for black Americans is profound. I mean, Morehouse is such an incredible institution with a great history. And for the first time as the President, David Thomas talks about it, you can – it's Morehouse without borders. You can attend Morehouse and have a really high quality experience from anywhere in the world. And so, we have to get them ready for that. That is our job. And we have liked what we seen on demand for degrees not just on the graduate side, but on the undergraduate side as well. And it's our job to make sure that not only the doors stay open, which during COVID I think we handled incredibly well under a tremendous amount of pressure that the world was under and our schools were under. So one note on that point, Ryan, is I'd just tell you definitively the model that we operate on, ultimately we call it our shared success model where we are powering under 2UOS, a very large component of what the university provides, certainly not the instruction on the degree side, but pretty much everything else is on our side. And it is under more demand now than it was three or four years ago. And I do think that there is some impact from COVID on the interest in expanding opportunities where we can bring not just the expertise and the scale to bear, but the capital to bear. And we've been focused on doing that with a capital footprint where we're not sacrificing quality at all, but figuring out how to do things more efficiently and better in the process. And that is some of what scale gets you. So today, as you heard, Paul mentioned, we kept our headcount flat. It went down a little year-on-year, and we were still able to achieve this kind of growth in the quarter 32%. So, firing on all cylinders right now, Ryan.
Ryan MacDonald: Great. And as a follow-up, I wanted to ask about the recent win at Pepperdine and the decision to partner with Keypath on that opportunity. I think this is only maybe the second program you partnered with Keypath on. Just wondering what made partnering with Keypath sort of the right decision versus going alone as just a solely 2U program? And how does that change the structure of how the programs delivered or are priced if anything? Thanks.
Chip Paucek: So we keep finding a way to say yes to our partners instead of saying no. If we can get to a smart yes that works for both sides. I mean, what people have to understand is these are – you don't get to become a Dean at Pepperdine, unless you're incredibly successful in your own right. And are building a high quality operation and building a strong sustainable operation. And so being able to say yes, Keypath is part of our tool set. We've been very happy. And to be clear working with Keypath has been an absolute pleasure. Steve firing and the team there – they're a great company. And so just like with our Guild relationship, if we can partner with someone else to expand the opportunity set, we're going to do it.
Ryan MacDonald: Excellent. Congrats again.
Operator: I will now turn the call back over to Chip Paucek for final remarks.
Chip Paucek: Thank you everyone. We appreciate you joining us this quarter and we look forward to seeing it on the road. Take care. Okay.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.